Operator: At this time, I would like to welcome everyone to this Nordic Semiconductor Quarterly Presentation Third Quarter 2025. Today's call is being recorded. If you have any objections, please disconnect at this time. [Operator Instructions] I'd now like to introduce Head of Investor Relations, Stale. Stale, over to you.
Stale Ytterdal: Thank you, Patrick, and good morning, everyone. As Patrick said, this presentation is being recorded and will be accessible on the Nordic website in the Investor Relations section. And additional, for those of you who missed the release, you can also find the earnings press release, quarterly report and presentation material on our website. With me today, we have Vegard Wollan, our CEO; and Pal Elstad, our CFO. They will share details about our recent financial performance and updates on key business developments. Following the presentation, as Patrick said, we will move on to the Q&A session. During this session, live questions can be submitted through the Q&A dial-in feature. For instruction how to dial in, please refer to the earnings call invitation available under stock exchange notice on our IR website. As a reminder, this presentation includes forward-looking statements that comes with inherent risks and uncertainties. Actual outcome may differ materially from those statements expressed or implied. We highly recommend reviewing our detailed Q3 quarterly report and the 2024 annual report for a deeper understanding of the risks and uncertainties that could impact our business operations. With that, I will now hand the microphone over to our CEO, Vegard Wollan.
Vegard Wollan: Thank you, Stale. My name is Vegard Wollan, and I'm the CEO of Nordic. And with me today, as always, our CFO, Pal Elstad. Let's look at the main takeaways from the third quarter. Revenue amounted to $179 million in the third quarter. This was an increase of 13% quarter -- year-on-year and in the high-end of the guiding range we presented for the quarter. Like we said at our second quarter presentation, we have been able to maintain a strong competitive position in the market, and we have been able to enjoy the market improvement over the past year. We see growth in both short-range and long-range and among both large key customers and in the broad market. In terms of end-user markets, the year-on-year growth mainly came from the Industrial and Healthcare segments this quarter with Consumer flat year-on-year from a strong Q3 last year. Gross margin came in at 52%, supported by favorable product mix and positive contributions from the cloud service business, which we recently strengthened with the acquisition of Memfault, as well as the broad market business continuing to be improving. EBITDA came in at $18 million adjusted for some noncash costs related to the Memfault acquisition, and Pal will give you the details of that and other costs a bit later. Q3 typically is the strongest quarter of the year, and we are guiding between $155 million and $175 million in revenue in the fourth quarter, which compares to $150 million in revenue in the fourth quarter last year. And we expect the gross margin to remain above the 50% level also in the fourth quarter. The top 10 customer share of revenue has stabilized at 57%, meaning that revenue has grown equally strong among our key customers and in the broad markets over the past year. Measured over the last 12 months, revenue from the top 10 customers now exceed the 2022 peak level. Revenue to other customers are still some 35% below peak levels, although we have seen a gradual improvement also in the broad market. And as we have said, it remains a clear priority to continue to build momentum and accelerate growth among our broad market customers, and we believe the nRF54 series and the range of new products we are releasing and bringing to the market now will be an invaluable tool for us to drive this going forward. We remain the clear design win leader when we look at the Bluetooth Low Energy end product certifications, with 31% of the designs certifying in Q3 and 30% over the past 12 months. This is 3, 4x -- 3 to 4x as many designs as our closest of our competitors. And note, as always, that this is counting a number of certifications, and this doesn't differ between high and lower volume products. And hence, you cannot translate this directly to revenue. And as we have said before, the transitioning between nRF52 and nRF53 Series products to the new nRF54 Series is creating a bit of a timing gap for us. And in Q3, less than 10% of the certifications for Nordic are with the new nRF54 products. This is obviously expected to increase now going forward. We continue to see great customer traction with the nRF54 Series. And as I will get back to in a minute, we are continuing to broaden the 54 Series product family with new versions to make sure that we reach a large part of the short-range market with our leading technology and products for most applications. Some of the most exciting road maps and most innovative products are being developed together with our large key customers. And with our business model, these innovations are being integrated on our standard chips and SoCs and software stacks, and made available to our customers in the broad market. However, product development takes time, and we need to allow for our customers to complete their designs and development processes, launch their products and ramp up production before we see significant revenue. And as we have said repeatedly, we will only see limited revenue effect of the nRF54 Series this year and expect to see accelerating revenue growth for the 54 Series from next year onwards. The most recent addition to the nRF54 Series is the versatile high-performance 54LM20A, which was launched in September. We do already have many customers designing and developing with this new SoC, and volume production is planned to start in Q1 next year. The 54LM20A is designed for more advanced wireless products across multiple markets, including consumer, smart home and industrial. It is particularly well suited for human interface devices, including gaming peripherals that require low latency wireless connectivity and high-speed USB. With 2 megabytes of nonvolatile memory and 512 kilobytes of on-chip RAM, it's also ideal for smart home devices such as Matter implementations, offering ample overhead for the application software without requiring external memory. This is the fourth variant in the nRF54L series. We started out with the baseline 54L15 and followed up with the 54L10 and the 54L05 for more cost-constrained applications, before we are now introducing the 54LM20A for more advanced and feature-rich applications. The 54LM20A launch signifies the step in delivering a comprehensive 54 Series portfolio to cover a broad range of applications, marking the 54 Series as the front-runner product family in the industry. Like the other wireless SoCs in the nRF54L Series, the 54LM20A delivers twice the processing power and 3x the power consumption efficiency compared to the industry reference, the nRF52 Series. We will continue to launch new and innovative SoCs and new software solutions for the nRF54 Series to ensure that we reach the entire addressable market with a relevant and best-in-class product offering. Nordic has achieved tremendous success with the nRF52 Series, which is also predominantly constituting most of our current revenue. And that family is the undisputed industry standard for Bluetooth Low Energy connectivity. This success is closely tied to the SoftDevice Bluetooth software stack and its support for the nRF52 Series. Now we are introducing the equivalent for the nRF54L Series, the nRF Connect SDK Bare Metal. The NCS Bare Metal is an easy-to-use software solution for developers developing simpler Bluetooth applications where they don't need a real-time operating system. Developers using the Bare Metal option retain the possibility to upgrade to Zephyr-based NCS with full-featured capabilities if needed. Summing up, we are making it easy for customers and especially our broad market customers to migrate their existing software code base from nRF52 to a familiar programming environment on the nRF54L series. Before Pal will take you through the financials, I would like to spend a minute on our acquisition of Memfault and the speed of integration into our service offering. Already 3 months after onboarding Memfault, we launched a new chip-to-cloud life cycle management solution that enables our customers to locate, monitor, manage and securely update devices over the air in the field with the new nRF Cloud powered by Memfault. The combination of Memfault's device observability and nRF Cloud device management enables development teams to monitor real-world behavior, speed up debugging and create fixes based on real data and reliably and securely deploy firmer updates over the air. The ease of use this service offers represents a major step in terms of efficiency, and we have already seen several customers committing and other evaluating the new service offering, many others evaluating it. The new nRF Cloud services platform is now applicable to all Nordic connectivity technologies, short-range, long-range and Wi-Fi. A few days ago, the nRF Cloud powered by Memfault services platform was awarded the Cloud Computing Innovation of the Year in the 2025 Mobile Breakthrough Awards. This shows that nRF Cloud is being recognized for its contribution to cloud life cycle solutions within the global wireless technology industry. We communicated our strategy to transition to a complete solutions provider with leading technology across the three strategic pillars. These are hardware, software and services. And it's great to see us starting to deliver on that. And here are some exciting news from the world of next-generation mobility. Also, the innovative e-bike brand incubated by the electric vehicle company, Rivian in the U.S. made a big splash last week in San Francisco with the launch of their stunning new e-bike, a fusion of design, performance and connected intelligence. Nordic Semiconductor is extremely proud to be at the heart of this breakthrough, powering the bike's smart connectivity experience with three of our advanced wireless chips. The new short-range SoC, the 54H20, the nRF9151 from long range, which we launched in Q3 last year, and the nRF7001 Wi-Fi connectivity chip. On top of that, the e-bike's diagnostic, cloud connectivity and life management are enabled by our newly released nRF Cloud services, seamlessly integrated with Memfault's powerful device observability platform. This collaboration showcases Nordic's technology ecosystem and that we are accelerating the future of connected e-mobility from robust wireless performance, application processing to cloud intelligence that keep riders safer and smarter on every journey. Thank you. And with that, I'll leave the floor to Pal.
Pål Elstad: Thank you, Vegard. Very good that you brought up the new products we're delivering, exciting news and showing how Nordic now is delivering all the way from chips to cloud, all with our new products. So very exciting news. So I'll now go through the financials for Q3. So as Vegard mentioned, revenue amounted to $179 million in the third quarter, which was an increase of 13% from $159 million in Q3 2024. Compared to last quarter, the growth was 9%. We have a strong year-over-year if you look at the first 9 months. So first 9 months increased by 38% to close to $500 million, up from $361 million in the same period last year. Nordic maintains a strong competitive position, enabling it to benefit from a continuing gradual market recovery, both among our large customer and in the broad market. The short-range business remains the revenue driver in absolute terms, growing by 7.4% to $167 million or 93% of our total revenue. Long-range revenue amounted to USD 9.8 million in Q3 '25, representing almost a fourfold increase in revenue compared to the same quarter last year and up 30% compared to the previous quarter. This reflects sales to an increasing number of both industrial and also consumer applications. In addition, long-range now see increasing contribution from nRF Cloud services after the acquisition of Memfault. It's worth mentioning that the cloud services are applicable throughout the technology offering, not just in the long-range business. Long-range in total is 5% of our revenue. The other category includes the early-stage businesses in PMIC and Wi-Fi, ASICs and development tool sales. While the technology development in Wi-Fi and PMIC is progressing as planned, these business units are still in an early commercial phase and therefore, included in other. And I want to turn to end user markets or the verticals we sell into. We see that Industrial and Healthcare is driving growth in the quarter. Industrial and Healthcare is now 35% of the total and increased 40% compared to the same period last year and 5% compared to last quarter. Part of this is because of the strong growth we see in long-range, including services, which for the most part goes to the industrial customers. However, we have previously said that revenue in Industrial and Healthcare still is dependent on a relatively small number of customers, and revenue reflects high sales to individual customers also in this quarter. Consumer revenue was flat year-over-year with tough comparable from Q3 last year when we saw especially strong performance in PC accessories and gaming and VR. Gross margin ended at close to 52%, which is a strong improvement from the last past quarters and in line with our long-term target to be above 50%. The increase versus last quarter is mainly driven by changes in consumer and product mix and the improvements in the broad market we see. In addition, it's also important to mention that from Q3, we also have a positive contribution from the recently acquired services business. The nRF Cloud business has gross margins more in line with comparable software companies and will have a positive effect on group gross margins. To sum up, we maintain our long-term ambition to keep gross margins above 50%. Now turning to operating model performance for Q3. As communicated, our operating model is set up with an ambition to move towards EBITDA margins of around 25% over the next 5 years. This quarter, we delivered a 13% revenue growth with a strong 2.4 percentage point gross margin improvement. So we have the foundation for improvements in our operating margin. However, OpEx spending will vary from quarter-to-quarter. And in this quarter, as I will turn to in the following slides, spending is higher. Despite higher revenue, we are still spending more than 27% of revenue on R&D compared with the target model of 15% to 20%. This is a small increase from 26% last year. This is partly explained by increased spending due to acquired businesses as well as higher variable pay as a result of higher performance. We saw an uptick in SG&A due to high M&A activity in the quarter, FX developments and high activity related to new product releases. Summing up, we maintain a double-digit adjusted EBITDA margins with an adjusted EBITDA of $18 million, slight improvement from the same period last year. I have to mention what's included in the adjusted EBITDA. In the adjusted EBITDA, we have adjusted for share-based components of the payment to the founders for the Memfault acquisition. Under IFRS, this is treated as compensation and amortized over the vesting period and not included in the purchase price allocation. This added approximately $2.6 million in cost in the quarter, which have been excluded in calculation of adjusted EBITDA. Now I'll turn to cash cost development. Total cash operating expenses were $75 million in Q3 compared to $63 million in Q3 last year. USD 12 million, this increase reflects acquisition and the organic cost increase was 11% year-over-year. Number of employees increased to 1,410 at the end of Q3, including 59 new employees from the Neuton acquisition and the Memfault acquisition. This corresponds to an organic decrease of 1% and a total increase of 2% compared to last year. The year-on-year cost increase mainly reflects cash payroll also when adjusting for acquisitions, which reflects both higher salaries and bonus accruals as a result of improved performance. There are some moving parts here, but overall, we expect a similar cash cost level in Q4. Next page. I think it's important to give some more highlights or basis for the cost increase. So I'll go into detail of the main bridge items. So approximately $4 million of the quarter-on-quarter increase is salary increases. Every July, August, there is the annual salary increase to all employees, and that amounts to approximately $2 million comparing Q3 -- sorry, Q2 to Q3. As I also mentioned, we have added $4 million in payroll to employees in acquired businesses, as communicated at the Q2 presentation. Furthermore, we have made additional accruals for variable pay of $4 million in Q3 compared to the amount in Q2. This reflects stronger-than-expected performance through 2025, which we haven't fully accounted for in the first half P&L. We have also approximately $1 million in additional social security tax paid on RSUs and FX changes adds up an additional $1 million. Now turning to CapEx. CapEx this quarter was $6.6 million, up from $3.1 million last year, but down from $9 million last quarter. CapEx on this slide is purchase of equipment and software, and it does not include capitalized R&D or acquisitions that you will see in the quarterly report. CapEx investments are irregular, and this quarter should be viewed in the context of the broader trend of the recent quarters. CapEx intensity last 12 months at 3.7% of revenue. Current CapEx is mainly in supply chain, buying testers, et cetera, and also IT equipment and smaller R&D investments. Finally, to cash flow. Q3 was a very active quarter with both acquisitions and refinancing. So there's quite a few items here. So first of all, you can see that we had a total outflow of $26.6 million during the quarter, partly because parts of the acquisition was financed through cash on the balance sheet. This cash flow was mainly achieved by a solid cash flow from operations adjusted for capitalization of $18.4 million, driven by operating profits and timing effects of payroll, slightly offset by higher working capital. The main increase in net working capital this quarter comes from higher receivables, offset partly by lower inventories and higher accounts payable. Inventories continues to be low and decreased $2 million in the quarter to $133 million. We commented earlier that we expect a decline in inventories during the year. However, we expect inventory levels to increase slightly in the near term. Net working capital over revenue was at 21% and is such below our target of 25%. Then to the acquisitions. Cash flow -- cash outflow in connection with the acquisition of Memfault was $107 million after deducting the cash acquired and held back shares to founders. Finally, we did a capital raise of net $102.9 million to refinance the bridge loan that was taken in connection with the Memfault acquisition. In addition, the company has unused RCF of $200 million. So together with the cash on hand, we have more than $500 million in available cash. With that, I'll turn the mic back to Vegard for closing remarks.
Vegard Wollan: Thank you, Pal. Let me round off with a few concluding remarks summing up our performance so far this year before leaving you with our guidance for the fourth quarter. We have seen a solid revenue recovery over the past year. Revenue for the first 9 months was close to $0.5 billion at $498 million, an increase of 38% compared to the first 9 months last year. And if we look at revenue for the last 12 months, like the graph on the right on this slide, we are at $648 million, also up 38% from the same time last year. Of course, we know that these growth figures include more than doubling of revenues in the first quarter this year as our revenue back in Q1 2024 were heavily impacted by inventory adjustments. But even taking that into account, I would still say we have seen stronger revenue growth in 2025 than we expected if we go back 1 year. The main reason is that we have managed to maintain a strong competitive position in short-range and continued to see very resilient demand for our nRF52 product portfolio. The nRF52 has been a strong workhorse for many, many years now, and we expect this product family to perform well also going forward. However, nRF54 is here now, and we are obviously expecting to see increasing contribution from our new product series from 2026 onwards. We also see higher revenue contribution from long-range, where we have been an innovator in cellular IoT and are expanding that now into a position into a leading IoT offering for nonterrestrial networks or satellite-based communication as an additional option to cellular networks. We are looking forward to launching our new nRF92 on the 22-nanometer platform next year, further improving performance and power consumption further reducing, and making us even more cost competitive, as we obviously expect to see continued growth for our nRF Cloud services, building on the successful Memfault acquisition. We continue to build momentum with new product launches in power management and are looking forward to gain more traction in Wi-Fi with the launch of the new nRF71 on 22-nanometer next year. Overall, I think we are delivering well this year. Looking back 1 year, we said we are aiming for more than 20% average annual growth throughout this decade and gradually to be moving towards our profitability target of 25% EBITDA margin. So far, I believe we are on track. Turning to our near-term outlook. We are looking for revenue between $155 million and $175 million in the fourth quarter. The third quarter is typically the strongest of the year. And while this will be a decline from the previous quarter, we still expect growth from the fourth quarter last year. We reported a gross margin of 51.9% in Q3 and expect gross margin to remain above 50% also in the fourth quarter, which will be an improvement over the fourth quarter last year. So with that, I think it's time to open for questions, and over to you, Stale.
Stale Ytterdal: Thank you, Vegard. We will now open the line for questions using the Q&A dial-in feature. Again for instruction on how to join the Q&A, please refer to the earnings call invitation posted on our IR website under the Stock Exchange notice section. To ensure as many participants as possible have a chance to ask questions, we kindly ask that you limit yourself to one question. After your initial response, you will be given the opportunity for one follow-up. With that, I will now hand it over to our operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Christoffer Bjørnsen from DNB Carnegie.
Christoffer Bjørnsen: I was just wondering, there's always been this government shutdown now in the U.S. for a couple of weeks, and we've seen how some essential entities like the SEC has shut down authorization of new electronics, I guess, across any product that has a radio in it. So just wondering, without quantifying it or talking about specific customers, have you seen any like launch schedules of new products from customers that you were expecting during the next weeks and months being pushed out in any way? Any changes in customer behavior there? That would be helpful. That's my first question.
Vegard Wollan: Yes. Thanks, Christoffer. No, I think it's fair to say we haven't seen any major changes related to that. We haven't actually seen and been in any discussions and dialogue with our customers related to it on a problematic way either. Having said that, it's relatively recent, of course. And this may change some release plans for some customers. Let's hope and assume it doesn't last too long, but we shall see.
Christoffer Bjørnsen: All right. That's helpful. And then a follow-up on the strong gross margin. Can you just help us unpack a bit like how much of that strength in the gross margin sequentially is due to the entry of the more software high gross margin business from Memfault? And how we should think about the underlying gross margin performance of the core chip business, so to say? Is it fair to assume that, that is improving as well? Or is it all due to the strength in the gross margin of the new acquired business?
Pål Elstad: No, absolutely, Christoph. It's a good and important question. And I'm not going to give you the exact number for the effect there because that's -- then you can calculate the exact services number easily. So we're too mature -- no, it's too early to talk about that right now, although the services business are delivering according to what we said at -- when we introduced the acquisition. So going forward, we maintain our ambition to deliver the gross margins above 50%. And it all depends on the product customer mix and also how it's developing in the broad market. But it's, of course, obvious that the gross profit -- gross margin going up by 2 percentage points is, of course, it's also related to the underlying business, not just the services. That's clear.
Operator: Next up is Martin Jungfleisch from BNP Paribas.
Martin Jungfleisch: The first question is just on the -- just the visibility on the demand trends that you are seeing over the next 2 to 3 quarters. If you could provide some color on that? And then also, would that visibility, I guess, bring you to the targeted 20% revenue growth that you are aiming for over the next -- over the decade? And then I guess, what needs to change? Is it mainly a macro topic? Or is it something that you would need to see more growth of your customers outside of the top 10? That's the first question.
Vegard Wollan: Yes. Thanks. It's a good question. We -- I think our visibility is -- I think it's fair to say it's more or less back to the normal lead time-based type visibilities, which we usually see in our backlog building and our forecast machinery. So that's, I think, what we say on the visibility. We only guide for the current coming quarter and not for the -- not beyond that according to our guiding institute as you are aware of. I think it's fair to say though that at our CMD last year in 2024, we communicated our long-term ambition to deliver annual revenue growth above 20% throughout the decade. Market doesn't behave linearly and perfectly according to that, as we all know. So -- but I think and we believe that we are clearly on track, both financially and most importantly for us with regards to renewing our product portfolio as most of what we currently are shipping is relatively old product as we know. And Nordic didn't launch so much product -- so much new products in -- between 2019 and 2024. And we have exciting times now where our customers are at least the fastest ones of them coming to -- coming closer to their releases and ramps, which we have said we expect to see acceleration of throughout 2026.
Martin Jungfleisch: Great. And then as a follow-up, just on long range. I mean revenue is still quite strong. Can you just disclose if this is driven by a small number of larger customers or is it the broader market? And then can you disclose the long-range losses that you had in the quarter? I didn't see this in the presentation on the report.
Vegard Wollan: Long-range losses. Yes. So long-range is currently a category of quite a few customers, it's fair to say. It's important to note that we have also added our nRF Cloud services revenue in that category, but we have certainly seen very positive growth and plateauing on a substantially higher level now than last year, which we are appreciative of. And we do see strong customer traction pipeline, particularly, as I mentioned, on the non-terrestrial networks, satellite additive technologies, which we are probably the leader in offering at the moment. Lots of traction in that space, which is giving us a design pipeline, which is making us confident in the growth plan for long range.
Pål Elstad: And regarding to the question on the losses, you're absolutely good spot that the APM, alternative performance measure in the quarterly report has been removed because we haven't been discussing that for some time. So it's taken out. But if you want to look at the -- or how the operating is going for the long-range business in the quarterly presentation, we have both the revenue and the OpEx related to that business. What's missing is, of course, the gross margin, but there, we're delivering according to what we've been stating before.
Operator: The next question will be from the line of Om Bakhda from Jefferies.
Om Bakhda: Just a quick question on revenue phasing. When we look at the Q4 guidance, the midpoint implies an 8% quarter-on-quarter decline in revenues, which is in line with your typical historic seasonality that we've seen in the business over the past decade. However, if we look ahead at what consensus is modeling and pricing it into the new year, we see that those numbers are looking at above seasonal trends as we move into the new year. And as you mentioned, 2025 has been a particularly strong year. And so it would be great to sort of understand what would need to happen in 2026 for this momentum to continue? And then I have a follow-up.
Vegard Wollan: Yes. It's hard to say whether we -- the quarterly patterns are still following some seasonality, particularly in the Consumer segment, which is still about 2/3 of our business, as you can see. So -- but again, these effects do not apply to all customers. And I think if you look at our last 12 months and last 9 months, you have seen a very substantial growth. This growth is mainly driven by the market and is consisting of our relatively old product portfolio predominantly. And of course, the premise for us now to see us reaching our target and ambitious growth plan going forward is, of course, that the product renewal, which we are in the midst of is happening. And the good news on that is that I think the Nordic team is executing very well at the moment. We are delivering new products on a multiple of them during a quarter at the moment, and we have done that now for the last about a year time. And as we know, some customers are moving relatively fast to production. Most customers are actually spending even 18, maybe some 24 months' time for their developments and design to be completed, certified, prototyped and ramped into production. But we are really excited about that phase now because the way we develop this product is obviously with our large key customers, and then we bring that on to the broad market, and we see that traction happening both with large customers and in the broad market. So that's going to be driving us growing more than the market and more than our competitors.
Om Bakhda: Great. And then just on long-range revenue. So if we look back, we see that the revenues can tend to be quite volatile quarter-on-quarter. And so in this -- in Q3, we've seen that long-range has gone up about 30% quarter-on-quarter. And so what sort of gives you confidence that this performance in long-range is sustainable on a quarter-on-quarter basis? And how should we do things as we move into the fourth quarter? Is this momentum sustainable, that performance that we've had in the third quarter?
Vegard Wollan: Yes. I think, of course, what we do see the design win and the customer pipeline, which are those moving to production in the coming time. That is giving us confidence that we are executing and on track to our ambitious growth plan and to be bringing our long-range business into profitability and with the growth rates, which we have communicated in that space. It's obviously all based on winning these designs. And then, of course, it's also fair to be said in long-range, these are among the more complex designs we are doing because you have cellular, you have satellite, you have multiple connectivity technologies you may connect to and the service providers, et cetera. So from a design and development time point of view at our customer base, they are also on the longer side on that. But still, as we see more and more customers now moving into production, we are confident in the growth in long-range continuing.
Pål Elstad: It's fair to mention, also the 9151, which is a relatively new product, which has a more right price point for the customer is starting to ramp. And that's...
Vegard Wollan: Yes, very good point, Pal. We outlined that sharpening focus strategy a year ago. And the 9151, which we launched in August last year was a very important first step of that, taking the cost down being the smallest module in the market, most -- and more cost effective, ultra-low power. And then the 92 Series, which we launch next year is taking -- 9251 is taking even a further step down in cost and up in performance. So really looking forward to that as well.
Operator: Next up is Sébastien Sztabowicz from Kepler Cheuvreux.
Sébastien Sztabowicz: One on OpEx because in Q3, it was a little bit above expectation. How should we model the OpEx moving into 2026? Do you have any kind of indication for us? That would be the first question.
Pål Elstad: Sure. So as you said -- correctly said, total operating cash expenses were higher in Q3, $75 million in Q3 versus $63 million a year ago. This is partly explained by acquisitions, of course, but more importantly, positive effects of what Vegard commented in what we see stronger revenue growth in '25 than we expected a year back. So going more into the details, it's really relevant to compare Q2 to Q3. So we have the salary adjustments. That's, of course, a fixed number. We will go ahead. Second is, as we commented last quarter, the acquisitions are adding $4 million to cash or to payroll compared to the number we had in Q2. Then there's two more sort of variable numbers. First of all, of course, accruals for full year bonuses and security tax on RSUs adding $5 million, $6 million in the quarter. That, of course, depends a little bit on where the performance in and also the adjustments for FX also varies here. So in total, taking into account that we have a positive holiday effect on salary in Q2 and also in Q3, overall, we expect OpEx level in Q4 similar as in Q3.
Sébastien Sztabowicz: And for 2026, it was my question.
Pål Elstad: Yes. So absolutely. So looking -- we're not guiding for 2026, but looking at the Q3, Q4 numbers, I think, is a good basis.
Sébastien Sztabowicz: Okay. That's very clear. And the second question is on the design activity with nRF54. You are quite happy with all the new products you are launching those days. Could you comment a little bit on the pace of design activity and also moving into '26, where you should start to see the first revenue contribution from the nRF52? How should we think about the revenue acceleration in 2026? Is it something very back-end loaded? Or you think you still expect something more linear during 2026, just to have an idea.
Vegard Wollan: Yes. We appreciate the question and interest in it. I think it's -- for the first, it is a fantastic pipeline of designs and customers and projects we have combined now with our nRF54 designs, and just a few of them now started to see certifications in Q3. Whereas there is a fairly large pipeline of designs which haven't reached certification, obviously, at the moment. So I think that transitioning and that customer design and development time is varying a lot. There are some customers now in production, and there are some customers moving into production every week as we now stand. But obviously, there are going to be a lot more customers moving into production throughout 2026. But that will happen on a continuous basis throughout the year, such that the contribution within -- in the numbers is also going to be accelerating throughout the year. And we are really excited about this, and we look forward to getting into a phase where you guys are also going to see more of the designs based on the nRF54 and our new products.
Operator: Unfortunately, we are running out of time. So I will now hand it back to Stale for any closing remarks.
Stale Ytterdal: Thank you, Patrick. Before we conclude today's session, I have one announcement. Tomorrow, Thursday, 30th of October, we will conduct a total of two post-Q3 Q&A group calls with analysts and investors. One group call with European investors hosted by DNB and one group call with U.S. investors hosted by Morgan Stanley. These calls will be attended by Vegard Wollan, the CEO; and Pal Elstad, the CFO and the IR team, and will be moderated by the covering analysts at each brokerage. For detail how to register, please visit IR calendar on our website. With that, I will now close today's Q&A session and hand over to Vegard Wollan for final remarks.
Vegard Wollan: Thank you, everyone, for joining us. Really appreciate it. And this concludes today's call. Thank you.
Pål Elstad: Thank you.